Operator: Hello, everyone, and welcome to Bladex’s Fourth Quarter 2021 Conference Call on this 22nd day of February 2022. This call is being recorded and is for investors and analysts only. If you are a member of the media you are invited to listen only. Bladex has prepared a PowerPoint presentation to accompany their discussion. It is available through the webcast and on the Banc’s corporate website at www.bladex.com. Joining us today are Mr. Jorge Salas, Chief Executive Officer; and Mrs. Ana Graciela de Méndez, Chief Financial Officer. Their comments will be based on the earnings release, which was issued earlier today and is available on the corporate website. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995 and Section 21E of the Securities Exchange Act of 1934. In these communications, we will make certain statements that are forward-looking, such as statements regarding Bladex’s future results, plans and anticipated trends in the markets affecting its results and financial condition. These forward-looking statements are Bladex’s expectations on the day of the initial broadcast of this conference call, and Bladex does not undertake to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in the Banc’s press releases and filings with the Securities and Exchange Commission. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. And with that, I’m pleased to turn the call over to Mr. Salas for his presentation.
Jorge Salas: Thank you, Chelsea and good morning everyone. I’m here today with our CFO; Ana Méndez, our Chief Commercial Officer Sam Canineu and a few other members of the executive team. Today, we will discuss fourth quarter and year end results for 2021. Please, let’s go straight to slide 3. So simply put, last quarter was the best quarter for Banc since 2019. Profits were up 20% quarter-on-quarter, 27% year-on-year. Credit portfolio continues to grow now for six consecutive quarters. In Q4, the commercial portfolio grew 6% from previous quarter, and that’s 24% year-on-year. Lending spreads also increased by 8 basis points while funding costs remain stable. Our fee income was 30% higher than the previous quarters, basically driven by our loan indications and letters of credit. All this while operating expenses in credit quality remains under control. Annie will later comment on dividends and no surprises there and on the stock repurchase program that was completed last year. But the real question is, of course, what exactly is behind this positive trend and whether it is sustainable going forward in the current environment. We’ll be addressing that too, later in this presentation. Moving on to slide 4. In this slide, we show the usual waterfall graph that illustrates the fast turnover of our portfolio during the quarter. In this quarter, Q4, we had more than $4.3 billion in credits maturing and we were able to disperse $4.7 billion that’s more than 70% of our book in one single quarter. Last quarter was the biggest quarterly disbursement since the second quarter of 2018. There are a couple of important insights that are not captured in this graph. First, almost $1 million of those $4.7 billion is very short-term financing basically generated to our vendor finance in the commodity sector, so Bladex’s core trade finance business at its best. Second, there are two main reasons why despite the relative high impact of this short-term financing, margins increased by 13 basis points on new disbursement. One, we originated over $500 million medium term deals with approximately three years of average life and two, financial institution spreads in the region increased by 5 basis points on average. In slide 5, we show the breakdown of our portfolio both in terms of countries and sectors. No significant changes here. Most of our growth for the quarter was in Colombia with financial institutions and in Peru, in the oil and gas sector. Most of this wealth is in resilient sectors and short-term. In slide 6, we illustrate growth of our investment portfolio. During the last quarter of 2021, the Banc’s investment portfolio grew by $54 million, a modest amount compared to the two previous quarters. As these investments are conceived as a complement to our loan portfolio, the Banc decided to adopt a more gradual pace of new bond purchases in view of the robust performance of the commercial team led by Sam here, and the expected anticipation of rate hikes for 2022. In slide 7, we see both assets and liabilities evolution for the quarter, but perhaps more importantly, the trend since 2019. On the left on the asset side we saw consistent growth trends in both the commercial portfolio and the credit investment also maturity portfolio that has grown 10X since 2019. Today, interest rates, interest earning assets are higher than pre-pandemic levels by almost 10%. On the right, we illustrate the evolution of Bladex’s funding structure. In Q4, we saw a slight reduction of the Banc’s deposit date which nevertheless remained above $3 billion. This is a seasonal behavior typical of the last month of the year. As a matter of fact, we have already seen a rebound in deposit volumes earlier this year. The Banc has been making more intensive use of bilateral loans, private placements through its EMCN program, and repost to fund the growth of both the loan portfolio and the investment portfolio. In addition to this, in order to further reinforce the Banc’s funding base in November, we successfully completed a new debt placement in the Mexican market for 3 billion Mexican pesos. That’s approximately $150 million which was considerably oversubscribed and follow by a reopening of a similar amount also oversubscribed a few weeks ago in late January. Finally, the Banc has also launched a global syndicated loan, which we expect to close early March. With these news resources, Bladex is well prepared to keep funding its asset growth, while maintaining a cost efficient and resilient funding base. I’m going to leave it here for now and turn it to Annie so she can walk you through our P&L. Afterwards, I will make some closing comments related to how Bladex is positioned to tackle the current environment, particularly as it relates to raising rates in the U.S. and also in Latin America. Annie?
Ana Graciela de Méndez: Thank you, Jorge. Good morning, everyone. I’m happy to comment on Bladex’s fourth quarter results, starting on slide number 8. The profit for the fourth quarter of 2021 was up by 28% on a sequential quarterly basis and up 27% year-on-year, reaching over $20 million. Driving these results were top line revenues, up 11% quarter-on-quarter and 18% year-on-year with a positive quarterly trend on both net interest income or NII and fee income coupled with relatively stable operating expenses. NII quarterly growth was supported by higher credit portfolio balances on the back of strong loan origination and the ongoing build up of the bond portfolio complemented by a pickup in lending spreads reflecting growth in medium term lending as Jorge just mentioned, and higher loan demand on the back of increased trade volumes and commodity prices. Fee generating business recorded a strong quarter, up 31% quarter-on-quarter and more than doubling year-on-year as the Banc continued on a good performance of its letters of credit business and a solid quarter in its transaction based structuring and syndications activity after closing two transactions during the quarter consolidating its reactivation during 2021 following a pandemic year 2020 with practically no market activity in this segment. Moving on to slide 9. We can see the annual profits evolution having recorded $62.7 million for the year 2021, slightly lower than the year before down 1% and still trailing pre-pandemic levels of $86 million in 2019. The main factor impacting annual profit has been lower net interest income, down 6% year-on-year and well below 2019 levels, mainly on the account of lower market rate hardly compensated by increased average balances as we surely see in more detail. Fee income was up 76% year-on-year and exceeded 2019 levels by close to $3 million or 17%. These increases are mostly related to higher fees from the letters of credit business as a result of the Banc’s focus on enhancing its capabilities for its trade finance products deployment. The combined NII and fee income effects resulted in an annual increase in revenues of 5% while expenses return to pre-pandemic levels, although still slightly below 2019, but increasing by 7% year-on-year. On slide 10, there is more detail on the elements driving NII annual evolution. As presented in the graph at the top left, the combined effect of increased average productive assets both the loan and investment portfolios coupled with reduced low yielding liquidity levels with cash balances mostly invested in the Fed resulted in a positive net volume effect of close to $20 million when compared to 2020. Lower market rates, however, have had the most relevant impact in NII evolution, negatively affecting it by close to $26 million year-on-year. So that overall, annual NII was down by close to $6 million in 2021 when compared to a year before. To illustrate this in the graph at the bottom left, the bar series represent the average loan and financial liabilities base rate, price on market labor rates. Both have come down by over 220 basis points from 2019 level. During 2020 liabilities re-price faster than loans but in 2021 both loans and financial liabilities completed the re-pricing at prevailing low market rates. We also present the early rates for loans and financial liabilities in the line series of that same graph, illustrating the rate differential between them both during 2021 has reached the same level then in 2019. So 2021 depicts a normalized year in terms of net lending spread after an increase during the peak of the pandemic in 2020 with lower market rates representing the main difference with respect to 2019. This is the main reason why net interest margin that is net interest income to total average earning assets has come down to 1.32% compared to 1.41% in 2020, and 1.74% in 2019, as shown in the graph at the bottom rate. On the other hand, net interest spreads for the only rate differential between average earning assets and financial liabilities stood at o1.15% in 2021 relatively stable compared to one 1.13% in 2020, and 1.19% in 2019. The fact is that has the majority of the Banc’s assets and liabilities re-priced in a very short tenor market rate variations impact the yield of equity invested in productive assets with the full effect in place once the re-pricing in both sides of the balance sheet have finalized. Moving on to slide 11, the evolution of asset quality and allowances for credit losses continues to reflect the Banc’s high quality credit exposure in its commercial and investment portfolio. Provisions for credit losses during the quarter amounted to $0.2 million for a total of $2.3 million during the year 2021 mostly related to credit portfolio growth and also reflect in the Banc sound asset quality with close to 0% in NPL and the remaining exposure performing well. During 2021, the Banc reduced its IFRS-9 stage two credit representing loans with increased risk since origination to a level of 2% of total credit down from 6% a year ago. These credits mostly relate to exposures in countries and sectors downgraded by the Banc at the onset of the pandemic in 2020 classified as high risk at the time. These exposures have been consistently reduced over time, as they were able to sort out the effects of the pandemic. The remaining exposure at year end 2021 accounting for 98% of total credit is categorized as stage one or low risk with credit provisions calculated for one year expected losses as opposed to lifetime in stages two and three. Finally, on slide 12, we present several aspects with respect to the Banc’s capital levels and capital management. At year end 2021, Basel III Tier 1 capitalization considering the Banc’s credit loss history through the advanced internal base ratings approach or IRB remained solid at 19.1%. Also strong and well above the regulatory minimum of 8% to the capital adequacy ratio of 15.6% calculated under Panama’s banking regulators metrics which considers the Basel’s standardized approach for credit risk weighted assets calculation. The Board recently declared a quarterly dividend of $0.25 per share, stable from preceding quarters, and representing 46% of quarterly earnings. In addition towards year end, Bladex completed its open market stock repurchase program for a total $60 million on the SEC rules NBA team, through which a total of 3.6 million Class E common shares were repurchased at prevailing market prices, resulting in a volume weighted average price of $16.86 per share, since the program was lounged in mid May of 2021. So at December 31, 2021, after the completion of the program, the Banc’s Class E shares listed in the New York Stock Exchange and representing the public float accounted for 77% of total outstanding common stock down from 79% at year end 2020. At the same date, Class A shares held by Latin American central banks or their designee own 70% of total common stock with the remaining 6% in Class B shares owned by financial institutions and which have convertibility right to Class E shares at no discount. With this, let me now turn the call back to Jorge. Thank you very much.
Jorge Salas: Thank you Annie. Very clear, good job. Let me just share a couple of thoughts on the current macroeconomic and scenario and the effects on our Banc. As you all know, in an effort to fight inflation, the Fed has already signaled that interest rates could raise as soon as March. The truth is that aggressive tightening from the Fed has destabilized emerging economies in the back. The last trend term has significant effects in Latin America. Back in mid 2013, we saw foreign currency devaluations that prompted a cycle of tighter monetary policy across the region. This time around Latin America is ahead of the game. Central bank’s most of them shareholders of Bladex have acted swiftly and decisively to manage inflation to contain capital outflows and to avoid sharp devaluations of their currency. Brazil led the way in 2021 by raising rates in March and others have consistently followed. What we see today across the region are very stable, well supervised financial systems for the most part, active and strong support from the IMF, and economies that have traction despite the recent increases in local rates. Not surprisingly, higher rates in local currencies have generated an increase in demand for hard currency financing, especially short-term financing, which is exactly what Bladex provides to banks in sub corporate in the region that are involved in trade. The IMF forecasts for 2022 is 2.4% down from 6.8% in 2021. This slowdown is inevitable as the economy returned to pre-pandemic levels. Latin America trade flows, however, are expected to grow 8% in 2022 and at least 5% in 2023. This is also good news for Bladex. So all in all, we remain cautiously optimistic that the region will be able to navigate this new sort of challenge. In this context, Bladex is willing and able to support its clients as we have done for the last four decades. We’ll leave it there. Thank you, everybody. And we will now open it up for questions.
Operator: Thank you.  Our first question comes from Jim Marrone with Singular Research. Jim, your line is open. Please un-mute if you’re muted. Alright, Jim, I believe that your line may be muted. Are you muted on your phone?
Jim Marrone: Yes. Can you hear me? 
Operator: Yes, sir.
Ana Graciela de Méndez: Yes, Jim. Hello. Good morning.
Jim Marrone: Yes. Thank you. So my first question is in regards to the net interest margin. You said it stabilized at 1.15%? Can you give us an idea what you anticipate with higher rates in 2022 and how that will impact the business?
Jorge Salas: Sure Of course. Annie?
Ana Graciela de Méndez: Yes. Actually the net interest margin is 132. The net interest spread was 115. There’s a slight difference between the two. And that’s the effect of the capital in the net interest margin. Well, we would anticipate the reverse of what happened in 2020 and 2021 if interest rates start to come up. As I mentioned both, our assets and liabilities re-priced in a very short tenor. They’re both mostly based on market rate. And we estimate that about an over 70% re-price is fairly quickly within the next, I would say, six months. And the overall impact at the end will depend on the magnitude of the interest rate increases and the frequency of the increases because we do run a very short tenor that may be I mean, let’s say in the first month, it may be more liability sensitive, or neutral depending on our liquidity level, but at the end, in general terms, they tend to re-price fairly at the same time. So when this re-pricing is finalized over time the net effect is it’s positive to our net interest margins when the interest rates go up because of the effect of equity financing a portion of assets and as assets are increasing yield and that should benefit the bottom line. I don’t know if that is clear enough and if that answers your question.
Operator: I am showing that Jim just disconnected right as you were finishing up your answer. So while we wait for him to reconnect, I will re-prompt for any further questions.  All right speakers at this time I’m showing no further questions in queue. All right. One moment. All right, we do have a question from the webcast. Is the Banc open to further stock repurchases given the current IOWPB values?
Ana Graciela de Méndez: Yes, I can take that. The Banc through the board of directors is consistently and very actively managing its capital position and considering capital initiatives like we did last year with the stock repurchase program. Having said this, the Banc also keeps a solid capitalization given the region in which we operate and at the end of the day, the board decides on this type of capital management initiatives depending on future prospects and in terms of growth for a bank. So it’s really not in our place to speculate on that. It’s up to the board. What I can say is its capital management initiatives are constantly revised at the board level and Jorge if you want to.
Jorge Salas: I mean yes, and with the recent growth and expected growth capital ratios have been tightening and we’re still very well capitalized. But we’re closer to the average of local market here in Panama under the bank superintendency ratio calculations but again, the decision is up to the board.
Operator: Alright, thank you.  Alright, speakers at this time, there are no further questions in queue. 
Jorge Salas: Okay. Then thank you very much for your attention and stay safe.
Ana Graciela de Méndez: Thank you. 
Sam Canineu: Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today’s teleconference. And you may now disconnect your phone line. Thank you for your participation and please enjoy the rest of your day.